Operator: Welcome to the Viad Corp. first quarter earnings conference call. [Operator Instructions] Today's conference is being recorded. If you have any objections, you may disconnect at this time.
 I would now like to turn today's meeting over to Joe Diaz, thank you. You may begin. 
Joe Diaz: Thank you, Caroline, and good morning and thank all of you for participating in the Viad Corp. first quarter 2014 earnings conference call. I'd like to remind everybody that certain statements made during this call which are not historical facts may constitute forward-looking statements. Additional information concerning business and other risk factors that could cause actual results to materially differ from those in the forward-looking statements can be found in Viad's annual and quarterly reports filed with the SEC.
 During today's call, we'll refer to the earnings press release, which is available on the Viad website at www.viad.com. Today, you will hear from Paul Dykstra, Viad's Chairman, President and CEO; and Ellen Ingersoll, Viad's Chief Financial Officer. Additionally, Steve Moster, President of Viad's Marketing and Events Group, will be available for comment during the question-and-answer session at the end of the call.
 With that, I'd like to turn the call over to Paul Dykstra. Paul? 
Paul Dykstra: Thanks, Joe, and thanks to all of you participating at today's call. We greatly appreciate your continued interest in Viad.
 The first quarter 2014 was a solid one for Viad and that bodes well for the rest of the year. Total revenue came in at $285.6 million with segment operating income of $13.4 million, which were at the higher end of our guidance range and in line with 2013 first quarter.
 The Marketing & Events Group delivered first quarter revenue of $277.8 million and segment operating income of $18.2 million, which were comparable to last year's first quarter despite the loss of CES. During the quarter, we produced the largest tradeshow in North America, CONEXPO/CON-AGG and IFPE, which set new records for both exhibit space and number of exhibitors. We also continued to experience growth in our annual shows with a 3.9% increase in U.S. base same-store revenue.
 Our U.S. segment continue to drive margin improvement posting a 70 basis point increase in U.S. segment operating margin as compared to the 2013 first quarter, with a 12% increase in U.S. segment operating income. The deficiencies in conjunction with positive show rotation are important, as we work our way to our 2014 operating margin of 4%.
 We also continued to make solid progress on the business development front with some key wins and renewals during the quarter. We recently won the contract to produce Sibos 2014 in Boston. Sibos is a premier business forum for the global financial community that rotates through North America every 3 years. Our successful production of the 2011 event in Toronto, helped us secure the 2014 contract. This is an important win for GES and we look forward to a great event.
 Our execution on past events and our ability to provide creative designs and sustainable solutions, had led the increased business with Microsoft. During the quarter, we produced Microsoft's Build 2014 Corporate Event at the Moscone Center in San Francisco. We are producing many events for Microsoft, and this was our first Tier 1 event for them, demonstrating their increasing confidence in us to make their events successful.
 We also renewed our contracts with the Chicago Auto Show and with True Value for an additional 4 years. GES works closely with both of these clients to ensure that the branding and the look and feel of their events deliver maximum impact and effectiveness.
 Internationally, our relationship with global organizer UBM, continues to expand. UBM Asia awarded us a 3-year contract to provide full services for their jewelry and gem fair in Europe, commencing with its inaugural event in Freiburg, Germany earlier this month. The show was delivered with precision, planning and was very successful.
 Additionally, UBM France awarded us a 3-year contract to provide a core contracting services for FFA, a leading healthcare industry event that will take place in Paris in a couple weeks.
 We have broadly developed infrastructure in North America, the U.K., and the Middle East, and our extensive global reach, we're able to service our client’s requirements wherever they may come up in the world with a very high level of customer service. We are uniquely positioned to execute on live events on a global scale, while providing consistent, as well as customized brand messaging where required.
 During March, we participated in the Exhibitor's Show, a leading event for tradeshow, exhibitors and brand marketers. Our experienced exhibit showcased GES, as a new brand positioning, the art and science of engagement by featuring our leading edge experiential and event capabilities, including our new audio/visual offering. The show was a great success for us and we were honored with Best of Show Award for our booth.
 We're also proud of the recognition GES is receiving as one of the world's leading live event providers. Event Marketer Magazine recognized GES as 1 of the fab 50, citing the strength of our global footprint and operational support. The magazine stated that, "although of our 47 of the companies on the fab 50 won't admit it, there's a certain type of program, size, budget, global schedule that only a company like GES can handle." They when on to say that GES is focused on a continued push to evolve its capabilities and that they continue to be impressed by the vision.
 We also recently received word that GES will once again be ranked among the nation's largest experiential agencies and among the world's 50 largest agency companies by Ad Age. This will be the fifth straight year, we have earned these important acknowledgments.
 I want to thank Steve Moster and the entire GES team on a global basis for a job well done and maintaining a strong focus on growing the business, increasing our capabilities and improving efficiencies, and doing it in a way that has garnered the respect of our existing clients, potential clients, our industry peers and trade media.
 Moving on to the Travel & Recreation Group. Revenue was $7.8 million with an operating loss of $4.8 million for the seasonally slow first quarter. These results were in line with both our prior guidance and the prior year.
 We're looking forward to a strong 2014 season that will celebrate the opening of the breathtaking Glacier Skywalk attraction on May 1. The Skywalk has received several design and engineering awards and very positive reactions from travel industry professionals and the travel industry media. We are excited to open it to the public next week.
 Presidents Dave McKenna and Cynthia Ognjanov had done a great job, leading the travel and recreation teams during the off-season to get our properties, attractions, transportation assets and employees, vying for a successful high season. We look forward to providing a world-class experience for all of our guest and delivering strong results for our shareholders.
 At this point, I'm going to turn the call over to Ellen Ingersoll, our Chief Financial Officer, for a more detailed review of our financial results. And upon the completion of Ellen's comments, I will discuss our strategic review, and then I'll open the call for your questions.
 Ellen? 
Ellen Ingersoll: Thanks, Paul. As I cover our first quarter result, you may want to refer to Tables 1 and 2 and in business unit highlights section of our earnings press release. I also want to highlight that all revenues and expenses related to the expired concession contract for Glacier National Park, including the prior year operating results and current year currencies have been classified as discontinued operations. Table 3 of the earnings release provides a comparison of 2013 results that has previously reported to the reclassified results.
 Our first quarter income before other items was $0.36 per share, which is at the high end of our prior guidance range of $0.28 to $0.38, but down from 2013 income before other items of $0.44 per share, primarily to due to lower corporate activities expense and a lower tax rate in the 2013 quarter.
 By definition, income before other items excludes restructuring charges and $0.10 per share related to favorable tax matters in the 2014 quarter. Viad's revenue and segment operating income for the quarter were $285.6 million and $13.4 million, respectively, both of which were in line with the 2013 quarter.
 During the first quarter, our Marketing & Events Group posted revenues of $277.8 million and operating income of $18.2 million. These results were comparable to last year and at the high end of our guidance range, driven by a continued improvement within our U.S. segment, offset by an expected decline in the international segment.
 Marketing & Events Group U.S. first quarter revenue increased $3.1 million to $221.4 million, reflecting positive share rotation of approximately $38 million and base same-show growth of 3.9%, which more than offset the loss of CES.
 Operating income increased $1.7 million to $15.9 million and operating margin improved by 70 basis points to 7.2%, driven by our continued focus on driving operating efficiencies and lower accruals for performance-based incentives.
 Our labor-to-revenue ratio on base same-shows increased versus the prior quarter. This was expected and was primarily driven by changes in the scope of work and shortened move-in schedules on 3 shows. Excluding these 3 shows, labor and revenue would have been flat for the quarter. For the full year, we're targeting a 30 basis point improvement in labor to revenue.
 Our international segment's first quarter revenue was $58.7 million as compared to $60 million in the 2013 quarter, and operating income was $2.3 million as compared to $4.4 million in 2013 quarter. Foreign exchange rate variances had a favorable impact on revenue and operating income of approximately $1.1 million and $48,000, respectively, compared to the 2013 quarter. Excluding exchange rate variances, revenue decreased by $2.4 million, primarily driven by negative show rotation of approximately $3 million.
 Operating income was lower than 2013 by $2.1 million, excluding exchange rate variances. And this decline is expected and driven by changes in the mix of business.
 Our Travel & Recreation Group performed well during the seasonally slow first quarter with revenues of $7.8 million and an operating loss of $4.8 million. This compares to 2013 first quarter revenue of $8.4 million and an operating loss of $4.9 million.
 Foreign exchange rate variances had an unfavorable impact on revenue of approximately $614,000 and a favorable impact on operating results of $243,000, as compared to 2013 first quarter.
 Now I'll cover some cash flow and balance sheet items. Free cash flow was $19.7 million for the quarter, as compared to an outflow of $13.9 million in the 2013 first quarter, primarily reflecting changes in working capital. Capital expenditures were $5.5 million for the 2014 quarter, down from $8.3 million in the 2013 quarter due to the completion of the Glacier Skywalk build.
 Depreciation and amortization expense was $6.8 million as compared to the 2013 quarter of $6.9 million, and payments on our restructuring reserves were $1.9 million in the 2014 quarter and consistent with the 2013 quarter.
 During the quarter, we declared and paid a special dividend of $1.50 per share or $30.5 million in the aggregate. As previously announced, this dividend was funded primarily by the $25 million of possessory interest proceeds that we received in connection with the expiration of our contract to provide concessions within Glacier National Park.
 Our balance sheet remains strong. At March 31, 2014, the [ph] cash and cash equivalents totaled $47.3 million and our total debt at the end of the quarter was $1.7 million with a debt-to-capital ratio of 0.5%.
 Now I'll cover our guidance for the second quarter and full year 2014, which reflects our best estimates based on information available at this time. Marketing & Events Group full year revenues expected to increase at a high single-digit to low double-digit rate from 2013, primarily as a result of positive share rotation of approximately $60 million, same-show growth and new business wins, partially offset by the loss of CES, as we have previously discussed. U.S.-based same-show revenues expected to increase at a low to mid-single digit rate.
 Marketing & Events Group segment operating margins are expected to reach approximately 4%, driven primarily by higher revenue and our continued focus on margin improvement initiatives.
 Travel & Recreation Group full year revenues expected to increase at a low to mid-single digit rate from $108.4 million in 2013. This group is expected to be driven by the Glacier Skywalk attraction and continued organic growth, partially offset by unfavorable exchange rate assumptions, which are forecasted to negatively impact Travel & Recreation Group revenue, by approximately $6 million as compared to 2013.
 Travel & Recreation Group operating margins are expected to approximate 21% to 22%. This is up from 20.1% in 2013.
 Corporate activities expense is expected to approximate $9 million to $9.5 million. Our full year cash flow from operations is expected to be between $60 million and $65 million. We expect full year capital expenditures of approximately $30 million to $35 million. And depreciation and amortization expense is expected to be between $28 million and $30 million.
 For the second quarter, we expect Viad's income per share to be in the range of $0.34 to $0.44, as compared to the 2013 second quarter income before other items of $0.35 per share. 
 Revenue is expected to be in the range of $237 million to $251 million, as compared to $246.2 million in the 2013 quarter. And we expect segment operating income to be in the range of $11.5 million to $15 million as compared to income of $11.5 million in the 2013 quarter. Additional details regarding our 2014 outlook can be found in the earnings press release.
 And back to you, Paul. 
Paul Dykstra: Thanks, Ellen. Finally, this morning I'd like to discuss the conclusion of our strategic review. I'll provide a summary of the process and what we learned, as well as our go forward plan for enhancing shareholder value.
 Since announcing our intent to explore strategic alternatives in December 2012, management, the Board of Directors and our advisors have thoughtfully and carefully evaluated options to enhance shareholder value. These options included, but were not limited to the following: One, a wide range of business combinations and separations with various domestic and international parties, including the potential separation of the Travel & Recreation and Marketing & Events businesses; two, opportunities for accelerated growth; three, greater return of capital; and four, alternative capital structures.
 Two important objectives were paramount in our evaluations. First, transactions must clearly enhance shareholder value; and second, any business left to stand on its own had to have great prospects for long-term success. Given these 2 objectives, we determined that a separation into 2 public companies would not be optimal at this time. Either business would be on the small side, as a stand-alone public company in its secured state and would risk being under followed, removed from key indexes and undervalued.
 We also spent considerable time and effort, evaluating a range of transaction opportunities for both business units, to be part of the larger business, including mergers, acquisitions and divestitures. After careful review with our advisors, we included -- we concluded that the best course for maximizing shareholder value at this time, is to focus on our strategic plans for Viad's Travel & Recreation and Marketing & Events Groups. 
 The prospects for both business groups are very strong.
 With respect to Travel & Recreation, we considered the meaningful tax expense that would be incurred in the sale transaction due to the low tax basis in our assets, as well as the range of values we could reasonably expect to realize at this time from the sale of Travel & Recreation, and a resulting value from GES as a standalone public company. Taking these factors into account, the implied value creation was not compelling.
 Looking ahead, we continue to be very bullish on the Travel & Recreation Group. We've been executing our refreshed build, buy, growth initiatives and will selectively continue to do so. 2014 is an important year with both the grand opening of the Glacier Skywalk attraction and our first year operating the Glacier Park business without the park concession contract. We have invested significantly in the Glacier Skywalk and feel that having financials that reflects its operating performance, as well as a strong performance at Glacier Park, will benefit any future process we might undertake.
 Our assets in this business are truly unique and the experience is gratifying for our visitors. We have tremendous confidence in the future prospects of the business.
 As it relates to our Marketing & Events Group, we have made significant progress in the past few years and expect that progress to continue. We believe that GES can be $1 billion revenue business, and we expect to deliver 5% or better operating margin by 2016. In addition to the continued growth of the base business, we anticipate growth and margin expansion to be fueled by an expanded product mix and continued gains in operational effectiveness.
 Regarding the expanded product mix, we see, for example, a substantial opportunity for growth in the audio/visual business. AV is a key complementary service that our show organizer and corporate marketer clients already purchased from other vendors that can be seamlessly offered by GES. The recent launch of our in-house AV services further allows us to drive increased share of the show floor on GES's events.
 While we are in the early stages of our entry into the AV market, many of our existing customers have indicated they're pleased that we have entered this space. This is a large opportunity with a market size exceeding $1 billion annually in the U.S. alone and operating margins in the range of 6% to 12%, making it nicely accretive to GES's margins.
 The second primary lever of profit growth for GES is our ongoing efforts to enhance our operational effectiveness. We continue to make meaningful strides in controlling variable labor costs, negotiating labor agreements that are constructed for both sides, and managing our service delivery network, as cost efficiently as possible. We also remain focused on doing what we do best in this market, bringing product and process innovation to everything we do. We have made measurable progress and we see significant opportunities for further efficiencies.
 We are also evaluating geographic expansion. This includes opportunities to bolster acquisitions on the European continent and in the Middle East, as well as entering new high growth markets in Asia and possibly South America.
 In summary, the future is bright for both Travel & Recreation and Marketing & Events. We are dedicated to continuing growing both business units in a way that raises the value of our shareholders investments. We look forward to keeping you updated, as we execute on our long-term growth strategy.
 We also remain committed to prudently managing capital. Since we began a strategic review, we have returned $81.3 million in capital to our shareholders through special dividends paid in November 2013 and February 2014, totaling $4 a share. During this time, the board also authorized the repurchase of up to 1 million shares. And now that we have concluded the strategic review, we are in a position to act upon that authorization and intend to do so prudently.
 With that, I'll turn the call over to the conference operator to begin the Q&A. Carolyn, can you open up the Q&A lines, please? 
Operator: [Operator Instructions] Our first question comes from John Healy from Northcoast Research. 
John Healy: Paul, somebody can give us some more color on the conclusion of the strategic review. I mean, is there a way to comment on the type of interest you may or may not have received from strategic partners? Maybe what side of the business was maybe more attractive or less attractive? And relative to what basis did you judge creating shareholder value? I mean was it the current stock price? Was it some sort of return measure you wanted to achieve? I was hoping you could try to provide us with more detail on how you determined that a separation or a sale or other items you might not have met whatever threshold you had established? 
Paul Dykstra: Sure. Thanks, John. We did evaluate transactions with numerous parties. Those parties included domestic and international firms and spans from the strategics to private equity. The transaction we explored were either not optimal or not viable for a number of reasons. In some cases, it was an incompatible strategic direction, or it just wasn't the right timing. In some cases, it was somebody's inability to take on sufficient leverage. When we looked at how we compared the different opportunities, we compared everything to our strategic growth plans. But we also compared them to comparable transactions, public company valuations and other types of metrics, John. We did a ton of homework here. We think we did that with not any stone unturned. We continue to believe strongly in our strategic growth plans for the existing businesses, and we think we have great opportunities moving forward. So when we compared that to some of the opportunities that we had, we thought that would be the best path forward. 
John Healy: And on the Travel & Recreation side, I mean, you kind of highlighted the tax basis item. Is there a way for us to understand that as if it's complete, maybe what's the tax basis. Is that business and how that complicated the process? 
Paul Dykstra: Sure. Let me ask Ellen to comment on that. 
Ellen Ingersoll: Sure. John, on the Travel & Rec side, the tax basis is about $150 million. So it has a fairly low basis from a tax asset perspective, and we use that in our analysis. 
John Healy: Okay, great. And then I wanted to ask about the co-productivity lines that you kind of highlighted the $9 million, $9.5 million of spend. Is there a way to think about, how that number may fluctuate generally in 2015? What maybe type of spend lingered or maybe comes out because of the special review maybe what kind of drag that's been on the P&L? 
Ellen Ingersoll: I would expect this change to be fairly comparable to '14, actually, John. '13 was low for a number of reasons, probably the largest of which were below in our performance-based incentives. So '13 was low, but I would say '14, the $9 million and $9.5 million is probably pretty comparable for '15. 
Paul Dykstra: We will continue to focus on doing everything possible to reduce our overhead. And that's always in our DNA. So I think, we'll continue to take a very sharp eye on that, John. 
John Healy: Got you. And then just actually one final question, in the 5% goal by 2016, it seems like a reintroduction of that target. Is there a way to think about kind of maybe how 2015 sits in the middle there? Would you expect us to progress towards that? Or to show rotation and things like that cause things to kind of pause out, I was just hoping some qualitative comments, and I know it's probably easy to -- too early to give a detailed plan. But directionally, how maybe you see show rotation and margin cadence in 2015? 
Paul Dykstra: Sure. 2015, as we've said before, it's a negative show rotation year more similar to 2013, that will put some pressure on our margins. So we will probably see margins a little bit lower in 2015. And then, as we add things like AV and some of the growth opportunities that we see, as well as our ongoing focus on efficiency and productivity marching towards the 5% into 2016, so 2015 will be a little bit more difficult year, especially because of show rotation. We will continue to do everything possible during that time on our overhead structure, on our labor-to-revenue and some of the other key cost buckets, augmented by some of the opportunities we see at higher growth and higher margin opportunities like AV that will help us as well. 
Operator: Our next question or comment is from Steve Altebrando from Sidoti & Company. 
Stephen Altebrando: I wanted to see if you could talk a little bit about the M&A environment on the Travel & Rec side, given that you still do have pretty considerable dry powder. And if the strategic review, what's holding you back at all? It's been a couple of years since Banff, I guess was the last deal? Or is it just a matter of nothing's been out there that's really met the return criteria? 
Paul Dykstra: Well, we have continued to invest in Travel & Rec. We have not made an acquisition in that space, I guess, since Banff International. We have, however, invested significant capital in the Glacier Skywalk, for example and some of other refreshed projects that we have talked about, the lower terminal, our back Gondola, we put a Starbucks in and that investment has been -- has worked out well. We continue to see opportunities in Travel & Rec, and we will continue to evaluate those on a one-off -- on a one by one basis, and we'll be very, very careful in our use of our very precious capital. I think, we also see some opportunities may be that we haven't talked about in the recent past on the GES side. We do believe that, that business is heading in the right direction and we see very, very good opportunities to maybe make some prudent acquisitions on the GES side now as well. 
Stephen Altebrando: Okay, that's helpful. And then in terms of the hotel assets near Glacier Park, are you committed to holding those? Do they -- given the scale that you're now at, does it make sense from a financial perspective or...? 
Paul Dykstra: We'll always review all of our assets, Steve. We have looked at that, we're still a very large player in the Glacier Park market despite the loss of the contract. Our rooms outside the park are of decent scale. We are operating those this year for the first time, as I mentioned in my comments, without the Park Service contract. We think, we've got good clients there and good growth opportunities, but we will continue to evaluate that on a regular basis. 
Stephen Altebrando: Okay. And then just a couple more, if you can comment on the feedback you're seeing from agents on the Skywalk, how advanced sales are looking, I know it's probably a little more short term, but any color on that would be helpful. 
Paul Dykstra: Sure. We're getting fantastic public relations on the Skywalk. We got -- we'll be on the cover of West Jack magazine, for example, coming up. We are opening that next week, we've got an architectural, and design awards, we got great PR from some overseas newspapers, lauding this attraction and the destination. We've got great support from Parks Canada and from Travel Alberta and Banff Lake Louise. So we're very excited, we think it's going to be a great attraction. We've seen good attendance so far, at our other attractions. We think all of those things combined to build very for a very successful opening of the Skywalk next week and a strong season. It really starts to get busy in more around July 1, kind of when Canada Day hits there. But we're very, very excited to have this on board. 
Stephen Altebrando: Okay. And then just lastly, I noticed your packaging the Skywalk with some of your lodging assets. Are you seeing any lifts on the lodging side that you suspect is partly attributable to the Skywalk? 
Paul Dykstra: That's a good question, Steve. I don't know that I can say for sure that we are, we're definitely planning on lifting some of our other areas. It's adjacent to the Columbia Icefield operation, and we also have leases with gift stores and things like that. So we definitely think, there's going to be lift in other parts of the business, as a result of the Skywalk. And we do think, it will help draw overall attendance into the destination. So I'm not sure, I can point specifically to our Banff properties. We do have a small hotel at out there at the Glacier View Inn, that I'm sure is benefiting from it in some way. But we think it's going to raise the level of the lake in other areas. 
Operator: [Operator Instructions] Our next question or comment is from Luisa Lau from Singular Research. 
Luisa Lau: If I could probably just go through your key wins and renewals again that you sort of I think, I might have just missed a couple, but also talk about the wins you have received, I believe [ph] The Sibos Boston event, when does that start, the one with the 3 year rotation? 
Paul Dykstra: Sure. I'll ask Steve Moster to comment on this as well. Sibos is an annual off show, but it only comes in North America once every 3 years. So we last produced it in Toronto. If I remember correctly, it was in Tokyo, and I don't remember the other destination between North America. It's a very nice piece of business, and we're very excited to produce that show. Steve, maybe you can comment a little bit on some of the win environment. 
Steven Moster: Sure, thanks, Paul. We've also renewed our agreements with the Chicago Auto Show and True Value. We've extended both of those annual events out for 4 years. Those have been long-term GES clients and we're excited to continue our relationship. More on the international side, Paul had mentioned earlier about our relationship with UBM and how we continue to expand that relationship. So UBM Asia group has awarded us a 3-year contract for the jewelry and gem show in Europe, which will start in Freiburg, this year. And then also UBM France awarded us a 3-year agreement for some of the core contracting services on SSA, which is a leading healthcare industry event that takes place in Paris in a couple weeks. So overall, I feel very good about the environment for renewing our existing contracts and clients, but also expanding into new prospect clients. We've seen the ability to take share of both domestically and internationally. 
Luisa Lau: Okay. Now the 2016 goal, 5% margin -- operating margin. Is that basically -- I am sorry 5%, right, 5%, basically that's the U.S. market, correct? 
Paul Dykstra: That's total GES, Luisa. So that's the overall GES. 
Operator: [Operator Instructions] Our next question or comment is from Ohi Akhigbe from Advisory Research. 
Ohi Akhigbe: I just wanted to get a little more detail around the capital allocation now that the strategic review is over like, how should we think about the percentage of free cash flow that goes to dividends, share buy backs and acquisitions? 
Paul Dykstra: Yes. Let me make a general comment and then I'll ask Ellen to expand on the comment as well. In general, our capital allocation is we try to be very balanced. As you know, we've returned a lot of our excess cash -- we've returned our excess cash to $81 million in the special dividend. We did increase our quarterly dividend 150% to $0.10 a share and then we also have the authorization for 1 million share purchase. We have to balance that and with some of our organic capital needs for both businesses. And then we do see some opportunities on the acquisition side, things that are very strategic and great opportunities for us. Certainly, we would have to take on some debt in some of these deals, in likely most of these deals. So there would be some leverage required in order to do that. Ellen, would you add to that? 
Ellen Ingersoll: Sure. I will just really reiterate, Paul. We've always looked at capital allocation perspective, organic growth, acquisitions, dividends and share repurchases. And all 4 of those are still part of our go-forward capital allocation with the growth strategy. So as Paul said, we are looking at strategic acquisitions on both sides of the businesses but will continue with the dividends, which we evaluate quarterly with our board and the share repurchases, which we have announced 1 million shares that we intend to purchase from time to time going forward. So all 4 of those Ohi, actually will still continue going forward. 
Operator: [Operator Instructions] And I'm currently showing no questions or comments at this time. 
Paul Dykstra: Okay. Thanks, Carolyn, and thanks everybody. On behalf of the Viad team and our Board of Directors, I want to thank you very much for your participation in today's call.
 Our first quarter got us off to a strong start for the year and we expect to deliver significant growth in full year profits. We're also pleased to have concluded the strategic review, and we're now squarely focused on delivering greater value to our shareholders by executing our strategic plans for both business units.
 Although the formal strategic review process has concluded, rest assured, we will never cease to evaluate all opportunities available to us, to enhance shareholder value as we move forward. And we are very, very steadfast in that commitment to you.
 We look forward to talking to you, with you again at the conclusion of the second quarter. Thank you very much again and have a great day. 
Operator: That concludes today's conference call. Thank you for this participation. You may disconnect at this time.